Operator: Thank you for standing by and welcome to Lennar's fourth quarter and year-end earnings conference call. At this time, all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I will now turn the call over to Mr. David Collins for the reading of the forward-looking statement.
David Collins: Today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Lennar's future business and financial performance. These forward-looking statements may include statements regarding Lennar's business, financial condition, results of operations, cash flows, strategies, and prospects. Forward-looking statements represent only Lennar's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could cause Lennar's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described under the caption Risk Factors contained in Lennar's annual report on Form 10-K most recently filed with the SEC. Please note that Lennar assumes no obligation to update any forward-looking statements.
Operator: I would like to turn the conference call over to your host, Mr. Stuart Miller, President and CEO. Sir, you may begin.
Stuart Miller: Good morning. I'd like to thank everyone for joining us for our fourth quarter and 2010 year-end update. We're very pleased to announce our fourth quarter and year-end results. 2010 marks a very solid year of performance for our company against the backdrop of a very difficult, economic and homebuilding environment. I'm joined this morning, as always, by Bruce Gross, our Chief Financial Officer; Diane Bessette, our Vice President and Treasurer; and David Collins, our Controller. Additionally, Jon Jaffe, our Chief Operating Officer, Rick Beckwitt, our Executive Vice President and Jeff Krasnoff, Chief Executive Officer of our Rialto segment are here and will be participating in our question-and-answer period. I'm going to begin with some opening brief remarks about the current housing market in general and the progress that we've made on managing our business. And Bruce will provide additional detail on our numbers. And then, of course, we're going to open the phones to your questions. As always, I'd like to ask that in our Q&A period, everybody please limit to just one question and one follow-up so that we can be as fair as possible to all of the participants. Okay. Our fourth quarter marks the end of what has been a complicated and difficult year in the housing market in general. The year started with signs of stabilization and high hopes that the stimulus plan of a tax credit together with historically low interest rates would help form a foundation on which the housing market might form a comeback. Unfortunately, as the tax credit expired it became clear that it had only pulled existing demand forward and the housing market slumped back into recession under the weight of shadow inventory and foreclosures. Low interest rate to loan were not enough to sustain higher demand levels and overcome high unemployment, lower consumer confidence and the customer’s general inability to secure down payment funds. The housing recession/depression that started some five years ago has left an indelible mark on the landscape of the housing market that will be with us for some time to come. We continue to believe that the housing recovery will traverse a long and bumpy road that will be inconsistent and uneven from submarket to submarket. Shadow inventory and foreclosures will continue to impact individual markets on the supply side while the pace of recovery in the job market will influence consumer confidence and demand. We've some early signs of gradual stabilization in the market. MLS listings have declined in many of our markets and the foreclosure pipeline is measured by delinquency rates have trended down. Against this rather difficult backdrop, we are very pleased that our Fourth quarter and year-end results represent a continuation of Lennar's return to profitability and represents solid operating performance in all areas of our company, even while market conditions have not improved. Overall, net earnings were $32 million or $0.17 per share for the fourth quarter and $95 million or $0.51 per share for the year. All three segments, Homebuilding, Financial Services and Rialto, contributed to the company's profitability, and we continue to look to overall profitability for the full year of 2011. Perhaps most importantly, asides from our return to profitability we had many significant operating accomplishments in 2010 that will afford us significant operating leverage when market conditions do ultimately begin to improve. On the Homebuilding side, 2010 has been a year of basic blocking and tackling as we focused on maximizing operational efficiency in order to achieve profitability even in depressed market conditions. In every one of our divisions, we've created a new product that is desirable to today's market, while offering fewer plans and redesigning efficient plans that allow us to minimize cost. We have used this efficient design as a foundation to renegotiate cost and reduce our direct cost by an average of 25%, enabling us to achieve appropriate gross margins. While some of these costs will rise as demand returns and will be passed on through price increases many of the cost efficiencies that have been incorporated will benefit our ongoing cost structure permanently. (Inaudible) times continue to come down due to our new more efficient product. We have simply never run more efficiently in the filed on both the building and the purchasing side of our business and given the very limited volume of construction nationally, our supply chain continues to work with us to lower our per foot building costs. As the same time we've maintained inventory levels in our communities that well balance with completed specs remaining about one to two per community. We are keeping our construction process Additionally, we've reignited our Everything's Included marketing platform in order to ensure that Lennar Homes always offer the very best value proposition in any of our markets. Lennar's Everything’s Included platform has always delivered the best value in our market by targeting the options and upgrades that are most desirable to our customers and including in the Home offering while eliminating options and upgrades and the overhead associated with them. We've also right sized our operations. We've reduced our SG&A in each of our operating divisions so that we are sized with appropriate personnel to operate profitably at today's depressed volumes while maintaining our most talented associates who will be able to help drive even greater earnings as market conditions do improve. We are sized to be able to make money today and to drive greater profits as the markets move forward. Finally and perhaps most importantly we've continued to purchase new strategic communities in the very best locations and sub market and have used these community purchases to help drive gross margin higher. We've been very selective to purchase only those communities that will drive our gross margins and we've avoided the competitive bids that have resulted in driving land prices higher. We have used our Rialto point of entry as an opportunity to access sellers and find and negotiate for land that is not yet on the market. Overall, 2010 has been an excellent year of repositioning for our homebuilding operations and we're well positioned to drive our bottom line when market conditions stabilize and improve. In addition to our accomplishments in Homebuilding in 2010, we also successfully completed the creation and launch of our new business segment, Rialto. While we began the process of preparing the launch of this business segment some three years ago, 2010 saw the investment of approximately $500 million in various assets that would utilize the Rialto machine. Rialto immediately began returning profits from those investments and is very well positioned to continue to invest capital and generate outsized returns on that invested capital. In our Rialto segment we purchased large and small portfolios of loans and REO at wholesale prices and then worked through those assets one at a time to resolve at retail payoff. It's all about making money by managing the process of purchasing wholesale and selling retail. Purchasing in bulk, selling one at a time. And admittedly the assets are a little bit more complex but this is where we are experts. The major contributors to Rialto's $12.4 million of operating earnings in the fourth quarter are our share of the profits from distressed real estate portfolio transactions, our public-private investment fund activities with Alliance Bernstein and the Department of Treasury or PPIP and the fees that we received from others for our management of these investments. As indicated in our press released we had a busy quarter adding to the distressed investments portfolio with the acquisition of approximately $740 million of real estate assets from three larger financial institutions. The combined portfolios added almost 400 loans to the over 5,500 we had previously acquired in partnership with the FDIC. All totaled during fiscal 2010 we acquired loans welcome to the an unpaid balance of approximately $3.6 billion as well as over 300 real estate properties that the sellers had appraised at over $200 million. With unpaid accrued and default interest and other amounts due from borrowers, the total is approximately $4.5 billion that we acquired for approximately $1(inaudible) billion or $0.33 on the dollar. And our net investment equaled approximately $430 million after accounting for seller financing and the FDIC's equity interest in our first two portfolios. We also completed the first closing of Rialto Real Estate funds with investors committing approximately $300 million, of which $75 million will come from Lennar. The fund objective is to invest in distressed real estate assets and other related investments similar to what we have already been doing. And just a couple of weeks ago, actually New Year's Eve, we closed on the funds first investment of $34 million portfolio of non-performing loans. On the Operations side, we continue to build an outstanding team of professionals at Rialto on our strong base of already familiar faces. Our detailed due diligence reviews combined with our resolution process and real estate operating capabilities allow us to look at these portfolios on a wholesale basis and do our operations bring value to individual assets on a retail basis. The Rialto team has now well over 110 associates focused on portfolio operations that include loan workout, property asset management, servicing finance, and back office operations in our three main offices in Miami, Atlanta and New York, along with a growing number of satellite offices located in Lennar's Homebuilding offices such as Southern California, Phoenix and Las Vegas. Our disciplined loan workout and resolution process, were initially designed almost two decades ago to maximize proceeds and returns from distressed assets. In our weekly asset manager meetings, our team methodically and professionally approaches and deals with the underlying borrowers and tees-up many of the resolutions that have to-date exceeded our initial underwritings. We are now deep into all of our 2010 portfolios having had contact with borrowers representing over 90% of the combined outstanding loan balances and in our first two transactions with the FDIC for which we took over management some nine months ago, we have not fully resolved over 240 assets and have brought in over $190 million in cash with our team, achieving an average resolution of some $0.90 on the dollar, although it's still early in the game. Over half of these resolved assets have been at levels at or higher than the full outstanding amount of principal due on the loan because we have been able to collect past due accrued interest and late fees. We now have over $175 million of cash on the partnership balance sheet. Over $120 million of this is earmarked to the fees the original $627 million of acquisition financing. And the rest is available as working capital to help us maximize the resolution of the remaining assets. We believe that our team and the infrastructure we have in place today is already way ahead of the pack and is setting the standard for best practices in the industry. This has positioned us extremely well for a growing pipeline of opportunity from the FDIC, from Banks and from others. Our due diligence team has been evaluating billions of dollars of potential opportunities. But our team distinguishes itself because it is made up of already in-place managers who are today working out loans and dealing with similar underlying collateral in the same markets and in a number of cases, the same borrowers. If we are able to purchase assets at our pricing and we believe we will, we are positioned to quickly and efficiently bring those assets right into our already in place work out machine and maximize bottom line profitability. And because of the high percentage of loans made to developers being able to efficiently incorporate Lennar's Homebuilding unique view and expertise gives this segment another distinct advantage in our evaluation and maximization of value for the assets. As a company we've remained very excited about our Rialto position and our marketplace and we look forward to reporting to you on the progress in future quarters. Overall, in the context of a very difficult market, we are very pleased with the progress we've been able to make, as reflected in our fourth quarter and our year-end 2010 results. And more importantly, we're very excited about the general direction of our company's strategy. Homebuilding and Financial Services remain positioned to be profitable in today's uncertain times and to drive materially improved profitability as the market stabilizes and ultimately begins to recover. At the same time, our Rialto strategy is building momentum in this distressed environment, as it grows both new and exciting opportunities to invest company capital and as well, produce real bottom line profitability. Our people continue to be a bright spot in the company. The dedication and focus in all parts of our company are a true source of pride. From the execution of business plans in the field to the cooperative spirit that exists between the Lennar Homebuilding segment and the Rialto segment of our company in sourcing new business opportunities, our people are really making the difference. More importantly our in place management team and overall staffing are positioned to drive real operating leverage as market conditions continue to improve and they will. With the people now in place we are positioned to be able to drive substantially more Homebuilding volume and substantially more Rialto investments without adding overhead. While we remain cautious about the immediate future we do believe that we have properly positioned the company to succeed in the current environment and to excel when the market recovers. We will continue to make strategic and opportunistic investments and focus on every aspect of cost structure as we look forward to a profitable 2011. Thank you.
Bruce Gross: Thank you, Stuart. And good morning. This was another quarter of positive operating earning contributions from all three of our business segments. Our Homebuilding business segment improvement significantly, as noted by operating earnings of $27 million this quarter, compared to a loss of $277 million last year. Revenue from home sales decreased 13% to $726 million, due to a 12% decrease in home deliveries, excluding joint ventures. While the company's average sales price was flat year-over-year at $238,000, the regional average sales prices were also relatively flat, except for our Houston Homebuilding segment where the average sales prices increased 9% year-over-year. Our premium impaired gross margin improved to 20.8% versus 17.8% in the prior year. Gross margins were strongest in our East Region this quarter and the improvement in gross margin is due to a combination of deliveries from new communities with higher gross margins, continued focus on controlling cost and a reduction in sales incentives on homes closed. Sales incentives declined from 36,300 per home to 33,700 per home during the quarter. And this is a reduction from 13.2% of home sales to 12.4% of home sales. As we indicated on our third quarter conference call we expected that the fourth quarter would have approximately $2,000 to $5,000 sequential increase in sales incentives and the actual increase was approximately $3,100 per home. Homebuilding community impairment decreased to 22.3 million compared to 55.5 million in the prior year. And the impairments during the quarter were primarily a result of a strategy to reduce prices and increase absorption in several communities. Our selling general and administration expenses as a percentage of revenues from home sales was 14.1% and that was a 210 basis point improvement from the prior year. The improvement continues to be primarily in the areas of lower expenses in legal, personnel and occupancy categories. Our improved gross margins and reduced SG&A led to another quarter of improved operating margins, increasing 510 basis points from the prior year to 6.7%, which is (inaudible) impairment. Gross profits on land sales totaled $13.7 million and that was primarily due to the recognition of deferred revenue related to a profit participation agreement. Our Financial Services business segment generated operating earnings of $11.7 million. And that is compared to $7.8 million profit from the prior year. This is primarily due to higher volume in profits per loan in our mortgage operations. Mortgage pretax income was $11.1 million versus $7.9 million in the prior year. And many of you have been asking about our mortgage putbacks exposure, which we have indicated is not material. At the end of the fiscal 2010, our reserve for mortgage putbacks settlements was $9.9 million and that compares to $9.5 million in the prior year. Out title company was profitable. It earned $1 million profit versus $2.3 million in the prior year. Our Rialto business segment also generated operating earnings, as Stuart mentioned totaling $12.4 million. And this number is net of $12.7 million of net earnings attributable to non-controlling interests. As a reminder we consolidated the FDIC portfolios and therefore our results reflect all the activity from the FDIC entities with an offset attributable to non-controlling interests. I'd like to simplify Rialto results for you so I'm going to give you a summary of Rialto’s $12.4 million of operating earnings by type of investment. There was $10.6 million of earnings generated from our 40% share of FDIC portfolios during the quarter. $7.4 million relating to PPIP, $3 million relating to the bank loan portfolios acquired during the fourth quarter and then there was approximately $8.6 million of G&A and other expenses. The $10.6 million of earnings from the FDIC portfolios includes income from first accretable income based on the expected cash flows from loan payoffs and interest income. Second, gains from sales of real estate owned. Third, gains upon foreclosure of real estate owned where an asset is foreclosed upon there is a fear of value performed on the asset, which can result in a gain or loss. And then fourth, fees for managing the FDIC entity. G&A expenses were $8.6 million; however we earned approximately $4.2 million in gross management fees that were in the performance of the aforementioned investments. The $3 million of income generated from the bank loan portfolios is primarily from accretable interest income and the $7.4 million of earnings during the quarter from our investment in PPIP is reported as equity and earnings from unconsolidated entities. $2.7 million of this income is interest income and $4.7 million is due to unrealized gains. The G&A and other expenses in the Rialto segment include G&A costs and expensed underwriting costs for new opportunities. Corporate G&A expenses were reduced by $7.7 million in the quarter or 24% versus the prior year, as a result of our continued focus on cost reduction initiatives. We were successful in finding another opportunity to recover funds related to Chinese drywall as we utilized the 10-year product liability carryback, which is included in this quarters tax benefit. In the fourth quarter, we continued to maintain balance sheet strength while investing in new strategic opportunities. Our liquidity is strong. Our leverage remains low, as our homebuilding debt-to-total capital net of the $1.2 billion of cash was 44.2% in the fourth quarter. Shareholders’ equity increased to $2.6 billion during the quarter. And our leverage ratio will improve further upon the full reversal of the $609 million deferred tax asset, which we still expect will occur in 2011. Additionally we retired approximately $109 million of Lennar debt during the quarter and issue $446 million in a new senior convertible debt offering during the quarter which has 2.75% coupon and 40% conversion premium. We replaced our cash collateralized letter of credit facility with a $150 million three year unsecured LT facility with five banks. This released approximately $150 million of cash that can now be put to work in new investment opportunities. We continued our success of reducing our joint ventures. This quarter was reduced by six and unconsolidated JV's are now 42 and only 14 of those have recourse debt. Additionally, we reduced our maximum recourse indebtedness to $173 million at the end of the fourth quarter and the remaining unconsolidated JVs with debt are conservatively financed, with an aggregate net debt-to-total-capital of 36%. Our inventory is well positioned as we enter 2011. We invested $84 million in new well-located communities in the quarter, totaling approximately 2,500 home sites. Inventory decreased approximately $100 million sequentially to $3.7 billion, and that excludes consolidated inventory not owned. There were 84,000 home sites owned. 20,000 controlled, totaling 104,000 at the end of the quarter. We ended the quarter with approximately 1,000 completed unsold homes and with 440 active communities at the end of the quarter it's just a little above two per community. We started 1,800 homes during the quarter and we entered fiscal 2010 expecting to return to profitability for the year. We completed 2010 earning $95 million of net income for the year. Similar to 2010 we expect profitability in our first quarter of 2011 to be challenged based on a low volume of projected (inaudible) deliveries. However, we are confident that 2011 will be another profitable year. Let me turn over for Q&A now.
Operator: We will now begin our formal question-and-answer session. (Operator Instructions) The first question comes from Ivy Zelman, Zelman & Associates. Your line is open.
Ivy Zelman: Thanks. Good morning guys. Congratulations on a great quarter. My first question pertains to your new communities with respect to going forward. You entered the year at 440 active communities. Recognizing you might not have a definitive number, but do you expect it to be north of 10% growth in communities? And within the communities that you did operate in the fourth quarter, what percent of the closings or orders, however you want to frame it Bruce, came from new acquired lots at the distressed prices that would obviously be higher margin roughly? That's the first question. I do get a follow-up.
Bruce Gross: Let me answer the deliveries in the fourth quarter. We took a look at that and about 10% of the deliveries came from some of the new communities acquired over the last four to six quarters. And relative to the community count, we ended at 440 for the year and maybe Jon you want to take where we're headed as far as communities?
Jon Jaffe: Well, if you look at the last quarter Ivy, we probably brought around 29 communities during the quarter. Not all of them are open yet in traditional community count but those are basically the deals that we did as a company coast to coast. I think that it's going to depend on the quality of the deal; our underwriting standards are extremely tight today. As we've said in the past we don't incorporate any inflation or underwriting needs to the north of the 20% gross margin and 20% IRR and targeting about a 10% pre-tax. So every deal will be added. I think it will be safe to assume that we're probably going to add another 10% to 15% in '011.
Bruce Gross: Let me just add Ivy and say that as we look at the communities that we've brought on and the ones that are coming on, all of our new communities are in fact accreted to our gross margin. We're seeing some real positive impact from some of the communities that are being brought on, even though our existing communities are faring pretty well as well.
Ivy Zelman: That's great news. I guess just a follow-up question relating to the underlying demand and looking at your fourth quarter with you permanently reducing your cost structure and therefore showing better profitability. Everyone's wondering is it sustainable in an environment in 2011 that arguably could be pretty still tenuous demand on the demand side and recognizing that you did better on orders, and I think the market was looking for and some of your I guess, peers, it looks as though your incentives didn't really see a big increase? So I guess with respect to 2011, if the demand was to remain where it was today at pretty low levels, do you think the sustainability of the margins are there and do you see any bright signs or any traffic underlying demand that might give us some hope? I know that KB Homes indicated they were seeing more stringent underwriting so a little of your thoughts Stuart just on demand and as you mentioned you expect to be profitable in 2011? So that does mean you're not expecting an improvement in demand and holding it at the current levels in order to drive that profitability in '11?
Stuart Miller: Listen I (inaudible) many times. I think it's hard to look past just the months that are ahead of us in the market like this and I think there' some mixed signals out there. We can, as we project and as we look forward we're not anticipating improvement but with that said we are seeing some indicators of some stabilization in the marketplace. That's not to suggest that it is stabilizing and will start to recover because I just don't know. But the indicators that we're seeing and we just had our division presidents meeting that we do on a quarterly basis and in almost every single market, the indicator from the field is that the MLS listings are down. The backlog of foreclosures as indicated by delinquency rates seems to be trending down and these would be good signs for future improvement or at least stabilization. As we're looking at our performance for 2011, we're not anticipating improvement in the marketplace. We think that we can remain profitable with solid gross margins. That doesn't mean they won't be somewhat challenged, if market conditions remain challenging. But we think that we're going to be able to maintain our current profitability through 2011 even at current levels and that's what we've designed our company position to be able to do, is to remain profitable in these conditions even with some negative bias and to really be able to leverage that overhead as we go forward. Let me just say parenthetically that as market positions continue to remain stagnant, this all goes in favor of our Rialto program and affords us even more opportunity to invest in distressed and leverage that operation. So we think that we have a balanced and intelligent program that's positioned for profitability even at current levels with a negative bias and we think any improvement in the marketplace really works well for us.
Rick Beckwitt: One thing I'd add Ivy is with regard to margins specifically. As Bruce shared with you on a current delivery basis the new deals are really not adding a lot to our bottom line and our gross composition and as the year moves forward we're going to get some upside benefit associated with the mix of new communities coming in because they were purchased through very, very attractively. The offset to that we do anticipate as the market improves that there will be some cost increases associated with material costs, and that's something that we can't control. Commodities will move one way or another. The trades are going to try to improve for increased pricing and we're going to have to deal with that and if the market does recover well we'll be able to tack some of that on to the consumer. The things that should maintain with regard to true benefit of the bottom line are all the redesign, reengineering, restructuring things of our base line product that we pulled out really hard costs out of the home from a construction build cost standpoint. So, from a sales standpoint, we're pricing to sell in the market. If the markets at $100,000, that's where that price for that home should be we're going to sell it at that price. We do know how many homes we need to sell in the current community in order to have that community have a pre-tax positive disposition. We look at everything on an individual profit center and margins will move up and down during the year. But we're positioned right now to make money in '11.
Ivy Zelman: Thanks Rick. Just about the underwriting. Any changes that are in the quarter with respect to the mortgage tightening or any comment there please?
Rick Beckwitt: Mortgage underwriting has got a bit tougher but we've seen the underwriting standards get tighter. Bruce, you want to talk about that at all or Jon?
Jon Jaffe: Hi Ivy. It's Jon. We're definitely seeing a difficulty in getting desired buyers qualified through the process. From what we see in the field level this is creating more of a pent up demand. It seems like there is interest in buyers but difficulty getting them actually approved in the closing table. I'd say.
Ivy Zelman: I'm sorry to interrupt. It's not the mortgage rate per se going up? It's more just getting the credit approved or whatever the stringent underwriting standards may be but the traffic is there and there seems to be demand? It's just the tougher underwriting standards, not the rate itself?
Jon Jaffe: It's really; we're seeing plenty of demand Ivy. As standards have got tighter we're seeing some benefit from improving appraisals as we move across the country and I think you've asked enough of your questions. We can move on. Nice try.
Ivy Zelman: Thanks.
Operator: The next question is from Jonathan Ellis with Bank of America, Merrill Lynch. Your line is open.
Jonathan Ellis: Thank you. First question, just on gross margins. If we look at the fourth quarter can you help us understand, if I heard you correctly there was some benefit from the Chinese drywall recovery? Could you, if possible, quantify that and then also was there any difference in the mix of spec sales in the fourth quarter versus the third quarter?
Bruce Gross: Well let me talk to the gross margin Jon. There was no benefit in the fourth quarter from Chinese Drywall. In the third quarter we had some benefit from recoveries but in this quarter we just reported there was no positive benefit relating to Chinese drywall and the Chinese drywall accruals that we made are adequate and there is opportunity for third party recoveries that we're still working on that could help future quarters but there was not anything in the fourth quarter. And then relative to spec sales compared to another quarter, there really wasn't a significant difference in this quarter compared to past quarters.
Jonathan Ellis: Okay and just, in terms of your community growth for next year? Do you anticipate that based on what you've been able to acquire thus far that the community count increase could be concentrated in certain regions more so than others such that they may have an influence on your delivery pricing next year, just based on geographic mix?
Bruce Gross: From a regional standpoint we have the composition of the things that we put under contract has varied quarter to quarter. And from our perspective we're investing the capital where the best opportunities are, not geographic mix, so that means we're doing a deal in Raleigh versus in Denver, that's what we're going to do.
Stuart Miller: Yes as I've noted many times we are very sub market specific, Micro market and it's really a question of where we'd find a sub market that are outperforming the norm. That's where we're investing capital. It can be in California. It can be in Raleigh or Florida. It's more about the sub market.
Jonathan Ellis: Okay. Thanks, guys.
Operator: The next question is coming from Michael Rehaut with JP Morgan- JP Morgan, Chase. Your line is open.
Michael Rehaut: Thanks. Good morning, everyone. My first question, just to go back to the gross margins. I guess the incentives went up you said about 1,300 per home, which was much less than what you'd been looking. I was wondering if you could just drill down a little bit into the drivers for that be it mix or just perhaps a better overall or less competitive environment than you might have feared? Just in terms of the actual versus expected?
Bruce Gross: Let me just clarify the numbers, Mike. We had estimated in the last quarter conference call that our sales incentives would increase $2,000 to $5,000 per home and the actual increase was $3,100. It was very much within our expectations during the quarter. Our success again in the quarter, as we indicated is the combination of deliveries from new communities with high margins, our focus on controlling costs and then on a year-over-year basis was the reduction in sales incentives with the prior year.
Michael Rehaut: Okay, I guess I misheard that and missed my first question. Maybe I could make it up with the second. On orders, still getting a lot of positive benefits in the East and I assume a lot of that is coming from the assets that you purchased from Starwood and how those communities are working out? At the same time the West and Houston continue to be drags. I was wondering what we can expect over the next 12 months in those regions if you have some community count growth or expect some stabilization in those regions or perhaps growing off of the lower base that you're at right now?
Jon Jaffe: This is Jon. I think consistent with the prior answers. It's very submarket specific and we are finding opportunities in Houston and then in the West Markets, and particular communities to acquire new assets that meet our underwriting standards of 20% plus gross margin and 20% IRR. So it will be driven by those opportunities as they come up and expect probably about the same level activity but it will just depend on how those markets perform.
Michael Rehaut: Okay. One last quick one if I could? Pricing trends given that the higher incentives were roughly in line with your outlook. Are you seeing any surprises? KB said that they still feel comfortable with some pricing discipline in the market. Are you seeing similar, you have similar observations across the different regions?
Jon Jaffe: This is preseason right now from the standpoint just typically where we sell a lot of homes. I think that December and January will maybe be a more tougher pricing environment, but as the year moves through with the increased traffic, pricing should get a little bit better. But notwithstanding that, we're priced in the marketplace in all of our communities to sell and we're building hundreds at cost structure.
Michael Rehaut: Great. Thanks.
Operator: The next question is coming from Carl Reichardt, Wells Fargo Securities. Your line is open.
Carl Reichardt: Hey guys, how are you? I have a question about the 25% decline in directs that you mentioned, Stuart. Is that on a per foot basis and how much of that decline would you attribute to better supply chain-buying materials cost versus (inaudible) the house versus efficient construction? I'm just trying to get a sense of how much of that is sustainable going forward?
Jon Jaffe: This is Jon. There's been a focus on several levels in the company that probably the biggest percentage goes to our national purchasing efforts which works hand in hand with our divisions, Carl so that's the combination of the efficient designs, working that at a national level on our item after item, item by item to bring costs down. So those two elements combined are probably the largest portion of it. And then market by market we've introduced really cost engineered efficient designs, as we said easy and quick to build. That probably accounts for I'd say maybe 25% of that cost savings and the majority of it being around the, that national purchasing with the actual design and working with the trades. Stuart Miller Carl, let me just add to that and say, look, a portion of our cost reductions and they've been substantial is the results of a tremendous amount of focus, particularly on Jon's part. It's attributable to working conditions, working the supply chain and the like but there's a sizable portion of these reductions that are structural in nature. We've disentangled the purchase of labor and materials across the board. We've got our hands around specific material costs and we're buying more directly. We have a national purchasing program that has spread consistency across the country for us. So we feel good about the cost reductions as it relates to current market conditions and driving gross margins in current market conditions. But we're perhaps even more optimistic about the permanent portion of those cost savings that will impact our margin positively, as market conditions, even as market conditions recover.
Carl Reichardt: Thanks, Stuart. And my second and last question, on the $84 million you spent, home sites 2,100 home sites. Did any of that come through Rialto and if so, how much?
Stuart Miller: Yes. Of the $84 million that we spent Carl on home sites, it was actually 2,500 home sites that we purchased and just a small number, a little less than 10% of that, the purchases came through relationships with Rialto.
Carl Reichardt: Terrific. Thanks, guys.
Operator: The next question is coming from David Goldberg, UBS. Your line is open.
David Goldberg: Good morning, everybody. First question, Stuart. Good to hear, I feel like it's been a little while since it's been talked about on the call and I'm kind of focused on and I'm wondering if you could talk, if there's been any changes in the way that you guys execute the EI program and then with that how you measure the success of everything included in terms of generating demand relative to a more option driven than customization driven model in the market?
Stuart Miller: Look, we've always felt that a solid Everything's Included program with a lot of concentration on including options and upgrades that are the primary focus of our customers is the best way to drive value and to keep overhead low. And that's what our Everything's Included program has done. I guess modifications that we've made to the program; it's kind of an interesting dynamic here. There's somewhat of a tug between Jon and Rick. Jon (inaudible) has done everything included and Rick some modification for today's current environment. We have created some spec level packages that enable our customers to kind of broadly change the spec level of their home in many of our communities. But by and large we have maintained a very low overhead structure in appealing to our customers on an Everything's Included basis while affording them the opportunity to alter the spec level of their home in a packaged format. It just keeps our program very efficient and simple to operate.
Jon Jaffe: This is Jon. I would just add to that that we continue to hear from our customers that they really appreciate the ease of the process of purchasing in Everything's Included home and the value associated with that. And as Stuart said we really have for this marketplace designed it so that the packages are affordable and available to every customer, type and desire.
Stuart Miller: Yes, good, better and best packages but everything's included in the package.
David Goldberg: And then if I could just get one more quick one in here. Just to understand I know you said first quarter profitability might be pressured a little bit. It might be more challenging, would that change your expectations for reversing the per tax (inaudible) loans, you guys did lose money in the first quarter from an operating perspective?
Stuart Miller: It doesn't change my expectations. As we've said all along, the auditors but I don't think one quarter because of low volume where we have positive operating margins will be a change to the trend that we are on to be able to reverse the BTA reserve.
David Goldberg: Great. Thank you very much.
Operator: Your next question is coming from Josh Levin with Citigroup. Your line is open.
Josh Levin: Thanks. Good morning, everybody. When mortgage rates increased rapidly in December did you notice any changes in traffic in sales patterns in your communities? Did it have a negative effect or did it have a positive effect, create a sense of urgency?
Jon Jaffe: This is Jon. No we really didn't see it impact the traffic patterns. We didn't see what we sometimes have historically seen where rising rates might cause some people to get off the fence either. It seemed to be a continuation of the existing market conditions, part of that might be just because it occurred during the holiday season and the end of the year where things tend to be a little bit muted in terms of demand anyway but bottom line is we really didn't see an impact one way or the other.
Josh Levin: Okay and second question. In the second half of '010 many of the homebuilders said that they were not going to materially lower prices or increase incentives because they felt that demand was going to last and it just wouldn't make a difference. All it would do is take away margin, so now we're looking towards the spring, the spring selling season starts in a few weeks and how do you think about the pricing strategy going into spring? If it turns out to be a lackluster spring is there a point where you would start to lower prices and increase incentives in a meaningful way or are we still, or are we just not going to move the needle?
Bruce Gross: I think that within our environment, pricing is a daily function. We stay very, very close to the market at the division and regional level. Our pricing is very reflective of what's happening in the market at a given moment in time. To superimpose kind of a macro view as we look ahead to the spring and the spring selling season, would be getting way ahead of ourselves. It's going to be very micro market specific and while it might roll up to an overall trend, I'm not so sure that the trend will be reflective of anything important. It's micro market by micro market pricing everyday and every week, it's discussions between the sales group, the division president, and regional president. We're very focused on pricing and keeping it reflective of the existing market condition.
Stuart Miller: And more importantly our production pace, our start pace is really geared towards the current traffic that we're seeing today. But to the extent that traffic picks up with our rebound of buyers to the market then we'll modestly increase our production pace. But it really shouldn't have that dramatic of an effect on pricing.
Josh Levin- Citigroup: Thank you very much.
Operator: The next question is coming from Stephen East, Ticonderoga Securities. Your line is open.
Stephen East: Thank you. Good morning. Just to follow on Josh's question a little bit. Last quarter you were very clear about where your incentives are going, that they were going up and you were going to move some products. Now you're much more circumspect about what's going on. Is that more of a function of the market or are you more comfortable with where your spec level is? Is it more internal versus external?
Stuart Miller: Steve, I think as we went into, as came out of the third quarter and went into the fourth, we recognized that we were going into the real soft spot of the year. And we could really see that the trend was negative and was somewhat mired in a combination of market trend and the seasonality that is overall generally negative. We're now coming out of the fourth quarter and into the first and I think that we're less pessimistic and I wouldn't paint an optimistic picture but I would say that the market condition is what it is. We're not going into the negative but instead to the positive side of seasonality and we'd like to wait and see how the market presents itself. We're certainly not anticipating moves upwards. We generally have a negative bias but we're not anticipating right now further erosion of gross margin or further incentive programs.
Stephen East: Okay, that's very helpful. And then just switching to land, two quick questions on there. One, what do you expect will the land span for 2011? And then the second thing, you had deferred revenues in lands sales, is that a one time event or something that's going to continue and you all can give us some guidance on?
Stuart Miller: Steve, as far as land span. If you were just to look at the land that came out through (inaudible). It's been in the $500 to $600 million that's been coming out and we expect that to increase as we find opportunities next year. So we'll be north of that $500 to $600 million mark that came out of deliveries that year and depending on what gross rate we find and that's dependent on market conditions, that number or how we'll go from there but our balance sheet is liquid. We're focusing on a lot of interesting opportunities and if we could bring those to conclusion, then we'll grow beyond what's coming out of sales.
Stephen East: Okay and then on the deferred?
Stuart Miller: Yes, on the deferred, every quarter there's some items that aren't expected one way or the other. We didn't expect, if you add up all the charges, there was $27 million of impairments between Homebuilding, some right off of the deposits and the like. So as you look at the $13 million of land sale profit, there were some other charges that were right off of deposits and the like. I look at that whole group as something we don't project. So the deferred revenue for that one particular item doesn't recur and I would hope some of the charges that we took this quarter don't recur either.
Stephen East: Okay. Thanks.
Operator: The next question is coming from Jade Rahmani of KBW. Your line is open.
Jade Rahmani: Yes. Hi, thanks for taking the question. I just wanted to ask on Rialto, how you would characterize the investment climate today versus say one to two quarters ago? Are you see pricing becoming more favorable to the banks and banks being more realistic on valuation and price expectation? And then secondly on CNBS some trade publications have indicated Rialto has been an active buyer of B-Notes and new securitizations, do you look at this as flow business and if new CNBS originations were to hit say 50 billion this year how much capital would you allocate to the CNBS sector? Thank you.
Jeff Krasnof: Yes, in terms of your first, this is Jeff Krasnof by the way. In terms of your first question, we are seeing and we anticipated that we were going to see this happen after the FDIC sort of kick started the market. We've seen significant activity from a lot of the  banks, particularly the regional banks have had an opportunity, number one to earn their way out of some of their issues, raise new capital and so on, and so forth. So we are seeing a lot more realistic approaches from these institutions about selling assets and obviously you can see we've been, we were involved this past quarter in three deals with regional banks, as well as we did that one small deal right, as Stuart mentioned, right at New Year's, so we feel that the climate there is kind of reaching a very nice point for us. Particularly considering the infrastructure we already have in and the access that we've got through a number of these institutions.
Stuart Miller: Let me add. We've seen increased activity in terms of the availability of products in the marketplace and bids and negotiations to buy assets. We think that the timing of closing our funds is particularly opportune. The additional capital to be invested in a distressed market will be welcomed with a good deal flow. We're currently underwriting literally billions of dollars of additional asset purchases, which we've incorporated in a very disciplined program of underwriting and bidding and negotiating for prices that we're comfortable with. We're very comfortable that we'll be able to fill the bucket continuing going forward. As it relates to the CNBS market we've most certainly put our toe back in the water, relative to CNBS. It has been reported we have noted that we have bought a couple of unrated deals. This again is an area that we are very comfortable with and we've developed tremendous expertise through the 90's and 2000's building a business. It is directly related to the primary Rialto business. Right now the amount of money that we're committing to that business is very limited and it is again, invested dollars that will produce outside returns.
Jade Rahmani: Thanks very much and then secondly, just on the funds can you just give some insight on how did you choose between choosing the (inaudible) fund capital versus Lennar's own capital? Thank you.
Stuart Miller: Well, we recognized that the capital would limited for an opportunity set that was very large and would continue, at least through the next year to present itself as an arena in which we'd want to invest and could produce exciting returns. So we felt that it was a good time for us to access the private capital markets to augment the dollars that Lennar would be investing. The dollars that we have invested to date, Lennar's dollars will remain as Lennar's investments. It is new investments that will be invested through the funds. As noted, Lennar is invested in the fund and we'll have the opportunity to co invest as we go forward. We think that the fund gives us the maximum in flexibility in terms of being able to invest in Lennar's capital and being able to deploy Lennar's and Rialto's machine to be able to continue to produce outsized returns.
Jon Jaffe: And it's also a way for us to enhance our returns because of the incentives that are built in to the fund in terms of the incentive fees.
Stuart Miller: And with that, let's take one more question.
Operator: The last question is coming from Dan Oppenheim of Credit Suisse. Your line is open.
Daniel Oppenheim: Thanks very much. I was just wondering if you could talk a little bit about the El Toro restructuring and how you are looking at that in terms and what happens in the terms of the equity you have in that? And then any other joint ventures in terms of financing that you see over the course of the year?
Jon Jaffe: This is Jon. We're very excited about El Toro. It's a great land position in one of the most desirable markets in the country. And with this debt restructuring and partnership restructuring, we really stabilize the capitalization of the project for the next seven plus years, which will give us the ability to monetize the assets. So, as we said today we're really exited about that. Just submitted the next level of maps to the city for entitlement just yesterday. As a result of that restructuring and now we're moving forward.
Stuart Miller: Let me add to that and say that the El Toro restructuring, somewhat similar to the new (inaudible) restructuring. It really positions the company well to be invested in a strategic asset in a long-term excellent market. These restructurings have come with some pain. In 2010, Jon added five years to his age and the restructuring take a tremendous amount of time and energy. Welcome to (inaudible) it now done and complete we are positioned to be invested in and involved in a really important strategic asset in Southern California. And we're really enthusiastic about that. I think that similarly many of our joint ventures have been and continue to be restructured and will ultimately benefit the company going forward. Over the past five years we have taken a lot of pain on some of these ventures. As we come out of 2010 we are getting better and better positioned to reap some benefits from some of those deals as we go forward.
Daniel Oppenheim: Okay. Thanks very much.
Stuart Miller: Okay. Well listen, thank you everyone for joining us for our 2010 update. The year has been a solid year of repositioning of the company. We're not only positioned for profitability as we look ahead but more importantly we are positioned for operating leverage as the market ultimately finds a bottom and begins to recover. Thank you for joining us.
Operator: This will conclude today's conference. All parties may disconnect at this time.